Operator: Welcome to the Priceline Group's First Quarter 2012 Conference Call. Priceline would like to remind everyone that this call may contain forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expressions of future goals and similar expressions reflecting something other than historical fact are intended to identify forward-looking statements. For a list of factors that could cause Priceline's actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor statements at the end of Priceline's earnings press release as well as Priceline's most recent filings with the Securities and Exchange Commission. Unless required by law, Priceline undertakes no obligations to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. A copy of Priceline's earnings press release, together with an accompanying financial and statistical supplement, is available in the investor relations section of Priceline's website located at www.priceline.com. And now I'd like to introduce the Priceline Group speakers for this afternoon: Jeff Boyd and Dan Finnegan. Go ahead, gentlemen.
Jeffery H. Boyd: Thank you. And welcome to Priceline's First Quarter Conference Call. I'm here with Priceline's CFO, Dan Finnegan. I will make some opening remarks, and Dan will give a detailed financial review. After the prepared portion, we will take questions. Priceline reported consolidated gross bookings for the first quarter of approximately $6.7 billion, up 44% year-over-year. Non-GAAP net income was $221 million or $4.28 per share, up 61% versus prior year. First quarter results surpassed FactSet consensus estimates of $3.95 (sic) [$3.97] per share and our guidance for the quarter. Worldwide hotel room night reservations were 45.9 million for the quarter, up 47% year-over-year. Our international business recorded 58% gross bookings growth on a local currency basis, down from 67% in Q4. Growth rates benefited generally from higher ADRs and continued high growth rates in APAC and the Americas. Growth rates were impacted by slowing growth in Southern European markets and a difficult comp as bookings growth accelerated in the first 2 quarters of last year. International gross bookings also benefited generally from growth in hotel supply and strong results at Rentalcars.com. Booking.com's platform now has over 210,000 hotels and other accommodations, up 55% over last year, and is building its brand in new markets by driving reservations to those destinations and growing demand in those regions for hotels around the world. Agoda continues to expand its network of hotels and is building APAC distribution as the business scales. They have a significant opportunity in the fast-growing APAC market and can also help APAC customers with their travel to other parts of the world. We believe the group's international hotel business is providing great value to its hotel partners. For Booking.com and Agoda, approximately 90% of booked room nights in 2011 went to independent and small group hotels and approximately 70% of those room nights represented reservations for travel in another country. Through our platform and substantial marketing spend, we believe we are providing our participating hotels with a very efficient way to reach the international leisure traveler. Priceline's domestic gross bookings grew 12% in the first quarter due primarily to growth in retail hotel room night gross bookings aided by improved ADRs, growth in retail airline ticket sales and higher fares and growth in domestic rental car reservations. Merchant gross bookings growth of 34% continues to reflect growth at Agoda and Rentalcars.com. Growth of 41% in rental car days represents substantial acceleration from Q4, reflecting improved results in the U.S. business and the growing contribution from Rentalcars.com. Economic conditions in Europe remain a challenge and are reflected in the lower relative growth rates in southern peripheral countries and a weakening of the euro, which puts pressure on our dollar-denominated results. We also now see changes in the political environment which add additional uncertainty. In light of these uncertainties, we believe the group's business performed well in the first quarter, and we are pleased with the progress of our brands in growing and improving their platforms. Our aim is to continue expanding and building our brands, which provides substantial earnings to reinvest in growth while maintaining attractive operating margins. I commend my colleagues around the world for their focus and execution. I will now turn the call over to Dan for the detailed financial review.
Daniel J. Finnegan: Thank you, Jeff. I'll discuss some of the highlights on operating results and cash flows for the quarter and then provide guidance for the second quarter of 2012. Growth rates mentioned in my remarks are in relation to the prior-year comparable period, unless otherwise indicated. Q1 gross bookings grew by 44% driven mainly by our worldwide hotel reservation business. Hotel room nights booked grew by 47% in the first quarter, a deceleration compared to the 53% growth rate achieved in Q4. Average daily rates, or ADRs, were up on a local currency basis by approximately 2% for our international hotel service and by over 5% for our U.S. hotel service for Q1 2012. These results were favorable to our guidance assumption for international ADRs and in line with forecasts for the U.S. FX rates for the first quarter for the euro and British pound were slightly unfavorable for the rates we assumed in our guidance at about 4% and 2%, respectively, unfavorable compared to the prior year. Our Q1 international gross bookings grew by 54%, and by 58% on a local currency basis, in both cases exceeding the top end of our guidance range. The guidance we gave on February 27 was based upon actual results through that date and, as we said on the call, an assumption that growth rates would decelerate as we proceeded through the remainder of the quarter. Hotel room night growth rates for our international business instead accelerated slightly throughout the remainder of the quarter. Performance was generally strong across all regions, and we believe that we increased our share of the hotel reservation market both in the U.S. and internationally during the quarter. We did see softer growth rates and ADR trends for certain Southern European countries. Rental car days booked were up by 41%, driven mainly by strong growth for our Rentalcars.com business. This growth rate reflects acceleration versus Q1 for rental car days booked both through our international and U.S. businesses. Gross bookings growth for our U.S. business of 12% exceeded our forecast for 10% growth. Strong growth in retail hotel room nights booked and higher ADRs were key drivers in year-over-year growth. Name Your Own Price hotel room nights declined slightly, likely as a result of competitive discount hotel initiatives. Airline tickets booked were up by 5%, driven by retail airline tickets, partly offset by a significant decrease in Name Your Own Price tickets due to limited supply resulting from airline capacity cuts. Average airline ticket prices increased by 5% in the quarter. The decrease in Name Your Own Price airline tickets and Name Your Own Price hotel room nights booked has a more pronounced impact on revenue, and merchant revenue in particular, since these transactions are recorded gross in revenue, with supplier cost recorded in cost of revenue. Strong unit growth, combined with some favorability in international ADRs, resulted in over-performance in key operating metrics compared to the top end of our range of guidance and Wall Street consensus. Gross profit for the quarter was $743 million and grew 47%, as compared to prior year. Our international operations generated gross profit of $617 million, which constituted an increase of 59% as compared to the prior year and an increase of 65% on a local currency basis. Gross profit for our U.S. business amounts to $127 million, which represented 8% growth versus prior year. Non-GAAP operating income as a percentage of gross profit amounted to 35.8% for Q1 2012, as compared to 34.9% for the prior year. Operating expenses grew slower than gross profit, resulting in 90 bps of additional operating leverage. Advertising efficiency was favorable to our forecast, but online advertising expense as a percentage of gross profit was 70 bps higher than prior year primarily as a result of business mix. Our international brands, which rely more on our online advertising spend, grew at a faster pace than our U.S. priceline.com business, driving the mix impact. In addition, we continue to see an increasing share of business coming through paid channels. Adjusted EBITDA for Q1 amounted to $272 million, which exceeded our guidance range of $243 million to $253 million and represents 57% growth versus prior year. Non-GAAP net income grew by 61%, including a lower year-over-year cash tax rate due to the Innovation Box Tax benefit in the Netherlands and a lower statutory rate in the U.K. In terms of cash flow, we generated approximately $182 million of cash from operations during the first quarter of 2012, which represents a 34% decrease versus prior year. The decrease is driven largely by our decision to prepay in the quarter $166 million of income taxes for Booking.com in return for an early payment cash discount. These taxes would otherwise have been paid monthly over the year and so subsequent quarters of 2012 will have a lower payment burden as a result. We spent about $14 million on CapEx in the quarter. As we announced in March, we completed a $1 billion convertible debt offering during the first quarter. We believe this represents attractive financing for the company, with a coupon interest rate of 1% and a conversion price of $945 per share. The debt has a 6-year maturity date and generally cannot be converted prior to maturity, unless our stock trades above $1,417 per share. We used $166 million of the proceeds to repurchase shares of Priceline common stock concurrent with the offering. In total, we repurchased $254 million of our common stock in Q1. The remaining proceeds, as well as our other cash and investments totaling $3.6 billion at quarter close, are available for general corporate purposes, including additional share repurchases, acquisitions and debt repayments. Now for second quarter 2012 guidance. We have a difficult comp in Q2 because unit growth in prior-year Q2 was very strong. As I mentioned on our earnings call last year when we reported Q2, our unit growth per hotel room nights accelerated over the back half of the quarter, which provides an even more challenging comp for the remainder of this quarter. Our top line forecast for Q2 reflects our actual results to date and assumes fairly significant deceleration over the back half of the quarter in light of the difficult comp. We are forecasting total gross bookings to grow by 26% to 31%, with U.S. gross bookings growing by approximately 5% to 10%. We expect international gross bookings expressed in U.S. dollars to grow by 32% to 37% and to grow on a local currency basis by approximately 41% to 46%. Our guidance assumes that ADRs for Q2 will be flat to down slightly for our international hotel service compared to up 4% in Q2 2011 and up 2% in Q1. Our forecast assumes Q2 ADRs up by about 6% for our U.S. hotel service. The current level of the U.S. dollar versus Q2 last year, particularly in relation to the euro, will present a significant headwind to our growth rates expressed in U.S. dollars. Our Q2 forecast assumes that foreign exchange rates remain at the same $1.30 per euro and $1.62 per British pound, as yesterday's closing rates, which would result in average exchange rates that would be weaker by 9% for the euro and by 1% for the British pound as compared to the prior year. It is important to remember that, given the challenging economic conditions and the sovereign debt issues facing Europe, we are likely to see volatility in the euro-dollar exchange rate, which can materially impact our results expressed in U.S. dollars. We have hedged contracts in place to substantially shield our second quarter EBITDA and net earnings from any fluctuation in the euro or pound versus the dollar between now and the end of the quarter, but these hedges do not offset the impact of translation on our gross bookings, revenue, gross profit and operating income and do not hedge our earnings beyond the second quarter. We expect Q2 revenue to grow year-over-year by approximately 18% to 23% and gross profit dollars to grow by approximately 31% to 36%. We expect non-GAAP operating income to show very modest deleverage as a percent of gross profit. As I mentioned on the last earnings call, we assume that margins in Q2 and beyond will be impacted by deleverage in online advertising expense due to business mix and potential reduction in ROIs and investment in people, new offices, IT expenses and increased depreciation expense to support the growth of our business. Adjusted EBITDA is expected to range between $450 million and $470 million, which at the midpoint represents 32% growth versus prior year. We are targeting non-GAAP fully diluted EPS of approximately $7.20 to $7.40 per share, which at the midpoint represents 33% growth over the prior year. Our EPS forecast reflects about $4 million of additional year-over-year cash interest expense for Q2 related to the convertible bonds we issued in March and the revolving credit facility we entered in September last year. Our non-GAAP EPS forecast includes an estimated cash income tax rate of approximately 16.5%, comprised of international income taxes and alternative minimum tax and state income taxes in the U.S. This rate reflects the estimated fully phased-in impact of the Innovation Box Tax benefit in the Netherlands. We expect our full year 2012 cash income tax rate will be approximately 4 to 6 percentage points lower than what it would have been if we did not have the Innovation Box Tax benefit. Our non-GAAP EPS guidance assumes a fully diluted share count of 51.6 million shares based upon yesterday's closing stock price of $716.20. We forecast GAAP EPS of $6.34 to $6.54 per share for Q2. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments that are detailed in our earnings release. We also continue to be generally cautious in our outlook for top line growth given the uncertain worldwide economy, potential currency headwinds affecting our results expressed in U.S. dollars and expected sequentially decelerating growth rates for a very large business comparing against high transaction growth rates in each quarter of 2011. We believe that our reported results for Q1 and forecasted results for Q2 demonstrate considerable resilience given the macroeconomic uncertainty that prevailed throughout the quarter and continues today. The recent European election results increased uncertainty regarding Europe's path forward to address sovereign debt challenges. While this uncertainty has not had a pronounced impact on our results to date, we continue to see short-term volatility in our unit growth rates and increased cancellation rates for our international business, which makes it more difficult to forecast trends. In addition, as I mentioned earlier, we have observed weaker transaction growth rates and ADR trends for certain Southern European countries, likely due to the economic conditions and sovereign debt concerns. If macroeconomic conditions were to worsen, it would likely impact consumer discretionary spending which in turn would likely adversely impact the travel market. Our forecast does not assume any material change in macroeconomic conditions in general and conditions in the consumer travel market in particular. We will now take your questions.
Operator: [Operator Instructions] Our first question comes from Ross Sandler of RBC Capital Markets.
Ross Sandler - RBC Capital Markets, LLC, Research Division: Jeff, you mentioned that international room night growth accelerated in the first quarter, and I think you had a pretty tough comp in 1Q as well, yet you're calling for deceleration in Q2. So could you first just remind us what the [indiscernible] for Q2 tends to look like? And what is your thinking that -- do you see any reason to be a little bit more cautious or conservative on 2Q? And are you seeing the ADR weakness in Southern Europe moving into any other territories within Europe?
Daniel J. Finnegan: For Q1, Ross, what we said was that units decelerated overall, but from the point that we reported at year end and gave guidance for Q1, there was acceleration from that point forward through the end of the quarter. So overall, it was deceleration for the quarter. In terms of linearity on Q2, each month is progressively more significant than the last month and so the biggest part of the quarter, by far, is yet to come. Our forecast reflects the fact that, last year, it was a very strong performance with strong acceleration year-over-year and so we've reflected fairly significant deceleration for the back half this year as a result of that comp. In terms of regions in Europe, the only one that we've called out really as noticeable in terms of softness in growth rate and ADR trend is Southern Europe and only certain countries within southern Europe. Besides that, nothing that I would highlight is being way off trend.
Operator: Our next question comes from Mark Mahaney of Citigroup.
Mark S. Mahaney - Citigroup Inc, Research Division: You made a comment also about -- that 90% of room nights booked at Booking.com and Agoda went to independent and small group hotels. Just to check the opposite: Do you feel like you're having any traction problems with chain hotels? I realize they're less important in the international market. Still, is there anything in that that's a negative in the sense of lack of traction with those larger hotels?
Jeffery H. Boyd: I don't think so, Mark. I think it would be fair to say that Booking.com has been doing business with the large multinational chains, particularly the ones headquartered in the United States for a shorter period of time than priceline.com has, or some of our competition. So there's still some building going on there. But Booking.com is doing well with the international chains. They very much like the international traveler demand, which was the other statistic that I mentioned, where 70% of the room night reservations were for travel in another country and Booking.com is a unique source for that kind of traffic.
Mark S. Mahaney - Citigroup Inc, Research Division: And Jeff, real briefly, for that 70% for travel in another country, is it your sense that those are all incremental or very largely incremental to that small independent hotel?
Jeffery H. Boyd: I don't think that, given the size of the business, you could fairly represent that it's all incremental, but what I do believe is that, for most of these hotels, their source of demand for that kind of traffic would be an offline travel agent operating through a consolidator, which is a very, very expensive source of demand for a hotel.
Operator: Our next question comes from Stephen Ju of Crédit Suisse.
Stephen Ju - Crédit Suisse AG, Research Division: So last quarter, it did not seem like you were too concerned, but as we get closer to the Olympics in London, are you seeing anything materially different from your hotel partners in terms of their costs and inventory allocation?
Jeffery H. Boyd: I think you have to keep in mind that the Olympics are for a short period of time and in one city. And our international hotel business is truly global and quite diversified, so that would temper the impact of even a short-term production and supply availability for the City of London during the Olympics. I think our teams have done a very good job of trying to manage for and build availability for our customers during the time period of the Olympics. And I think they're going to do a very good job of selling business during that time period. But given that it's one city and for a 2-week time period and the global nature of our business, I think that's really what was behind our earlier comments.
Operator: Our next question comes from Heath Terry of Goldman Sachs.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: Great. Would be curious -- I guess, kind of 2 quick questions. So give us a sense on the impact that you're starting to see, if any, from mobile bookings, particularly where you've started new product offerings like the Booking.com Tonight platform. And then just specifically within China, we've seen a pretty significant increase that appears in the number of hotels listed in China on Booking.com. If you can give us a sense of what's driving that to the extent that you're beginning to see any meaningful traction domestically with -- for bookings in that market.
Jeffery H. Boyd: So with respect to mobile, Heath, certainly, the trend of traffic moving to mobile and an increase in mobile traffic as a percentage of our total traffic is continuing, and it's driven not only by the functionality that we're leasing into the marketplace, but just the proliferation of the devices and consumer adoption. So continues to be a fast-growing source of business, very -- we continue to be very excited about it. And all of our brands are devoting resources to try to capture that opportunity. We are finding our businesses generally performing well in mobile environments. Our applications are ranked well. We've got good traction in terms of downloads. A couple of our brands, Booking.com and priceline.com, have Tonight-Only kinds of offerings. And those are performing well, but I think it's fair to say that the demand for hotels goes beyond the inventory that's available for a Tonight-Only discount. So we're just making a lot of reservations for normal everyday savings on Booking.com. We're making a lot of reservations for opaque hotels on priceline.com where we have the broadest supply of deeply discounted inventory of any other player. And it's really a great opportunity to promote those kinds of products, doing well in the rental car space here in the United States. So we continue to be very excited about it. With respect to China, hotel counts for both Booking.com and Agoda are increasing, and we're devoting resources to increasing our hotel coverage in China. The principal sources of demand for those hotels remains the international traveler for both Booking.com and for Agoda, the international traveler in the APAC region. I think we're doing reasonably well selling international destinations to Chinese travelers because we have, at least in our view, some of the best product out there for them. The purely domestic traveler is something that's still -- is an opportunity that's -- we're not deeply penetrated in. We have some business. We're working on it. We'll continue to work on it, but that's not a big part of the business today.
Operator: Our next question comes from Tom White from Macquarie.
Tom White - Macquarie Research: My question's on the hotel inventory in your newer regions. How close are you guys to having sort of comprehensive coverage in terms of your hotel networks in your emerging markets of Asia-Pacific and Latin America? And then on capital deployment, you guys bought a significant amount of stock back in the quarter, I think even $100 million beyond what you did concurrently with the convert. Could you maybe update us on your priorities for capital deployment, be it further buybacks, M&A or any other uses?
Jeffery H. Boyd: So with respect to hotel inventory and comprehensiveness, I think we've got a lot of properties that we need to sign up for Agoda and Booking.com, especially in new markets for those brands around the world. I noted in my prepared remarks that the hotel count -- hotel and other accommodation count for Booking.com was up over 50% year-over-year, and that gives an indication that we're still able to add additional properties. I've also said in the past that some of these properties are smaller hotels, other sources of accommodations. So there may be a point of diminishing return with respect to signing up. Some of these properties may not be as valuable as some of the earlier properties that we've signed up, but I think there's a lot of running room especially in the new markets. With respect to capital deployment, our approach to that has not changed. We remain opportunistic. We have an open authorization to repurchase additional common shares, if we should decide to do that. And we also remained active in looking at other businesses, as we have over the last 10 years, and are happy to have a fairly substantial amount of capital to do that if that becomes opportunistic, as well.
Operator: Our next question comes from Herman Leung of Susquehanna.
Herman Leung - Susquehanna Financial Group, LLLP, Research Division: Two quick questions for you. First, I guess, when I look at the historical sales and marketing spend, it usually peaks as a percentage of revenue in the first quarter, historically. Wondering -- and you talked about a little bit of deleveraging in terms of marketing ROI. Wondering if you can give us a sense of the cadence of marketing spend as a percentage of revenue as we progress throughout the year. And then, second, I guess I think you mentioned this a bit on the earlier question on supply additions. Wondering -- I mean, at what point -- I mean, when you -- we see a lot more supply additions in certain particular countries, I guess, does that indicate higher demand from the hoteliers trying to bill more rooms or -- and tougher economic cycles on the European market side? Or can you kind of give us a little bit more color on how -- the inventory types that you're actually receiving from some of these suppliers?
Jeffery H. Boyd: So Dan, why don't you do the first one? I'll do the second.
Daniel J. Finnegan: So Herman, for our advertising spend, you have it right. So Q1 is typically a quarter where we have a fair amount of spend as people are shopping for spring and summer travel, and then a large amount of our revenue is recognized in later quarters when the checkouts or car drop-offs occur in Q2 and then, to a much larger degree still, in Q3. So that's the linearity with the spend in relation to revenue recognition.
Jeffery H. Boyd: And on the supply side, when our brands are going into a new market these days, many of the hotels are familiar with the company and the amount of demand, international demand in particular, that Booking.com and Agoda represent. And so many hotels reach out to us directly. Usually, when our folks show up to talk about a contract with a new hotel, they know who we are and they've got a pretty good understanding of what the opportunity is. With respect to sort of what are the issues with the hotels, it's also very important for us to build availability in existing hotels. As our business grows, it's necessary for us to have availability to satisfy the substantial demand we're bringing into the websites. So a big part of the task of our staff is to make sure that the hotels understand the kind of demand they can get from us and are providing availability so that we can satisfy that demand. And as you get into high season, that becomes of a paramount importance contrasted to getting the next new hotel in the front door.
Operator: Your next question comes from Michael Millman of Millman Research.
Michael Millman - Millman Research Associates: In the first quarter, Expedia said that their revenue per hotel was actually declined 6%. Just kind of wondering what yours was in the first quarter and how that, say, compared sequentially with the third and fourth quarters.
Jeffery H. Boyd: When you say revenue per hotel, Michael, are you saying per hotel that they have on their system or per room night?
Michael Millman - Millman Research Associates: Per room night, sorry.
Jeffery H. Boyd: I think what -- their commentary there was driven in part by their own margin situation. They may have hotel room nights that are being stayed in more recent quarters at a lower commission or perhaps on an agency model rather than a merchant model with a little bit lower revenue per room night for Expedia. And I think they also indicated that they were doing some discounting, particularly at the Hotwire brand. And so those 2 things would be particular to them and not necessarily applying to us.
Michael Millman - Millman Research Associates: Well, I think they also mentioned that the biggest growth was in low-revenue markets as well.
Jeffery H. Boyd: Well, we certainly see lower ADRs in some markets compared to others. And for example, some markets in Asia can have lower ADRs, so mix of business regionally can have an impact on your ADRs for sure.
Michael Millman - Millman Research Associates: So are you saying that Priceline did not see a decline in revenue per night in the first quarter and previous quarters?
Jeffery H. Boyd: We do not give the exact same statistic that Expedia does, but you can look at our international gross profit dollars, which are mostly hotels, and compare that to room nights and try to come up with your own triangulation. But that's not something that we specifically disclose at the Priceline Group.
Michael Millman - Millman Research Associates: Are you likely to do that in the future?
Jeffery H. Boyd: I would think, not.
Operator: Our next question comes from Aaron Kessler of Raymond James.
Aaron M. Kessler - Raymond James & Associates, Inc., Research Division: A couple of questions. First, I think you -- in the past, you've mentioned that a lot hotels in Europe are using Booking.com as their exclusive booking platform. I'm just curious if that's still the case for a lot of hotels. And second, just mainly on the domestic guide, a little softer, 5% to 10%, is that just a tougher comp?
Jeffery H. Boyd: I don't think we've represented that a lot of hotels use Booking.com exclusively. And if they do so, it's not because there's any agreement to do so, it's because they've chosen to use their resources for something else rather than signing up another hotel provider. That's not a baked in part of the Booking.com strategy. And I'm sorry, your second? You went pretty fast there.
Aaron M. Kessler - Raymond James & Associates, Inc., Research Division: Yes, sorry. So the domestic guide of 5% to 10%, does that just imply a tougher comp versus last year?
Daniel J. Finnegan: Well, we pointed out for Q1, Aaron, that retail airline tickets performed strongly, and so that drives a fairly sizable amount of gross booking dollars. And we're not forecasting the same level of strength for Q2. So somewhat of an impact on the gross bookings line but less of an impact on gross profit.
Operator: Our next question comes from Justin Post of Bank of America.
A. Justin Post - BofA Merrill Lynch, Research Division: Jeff, maybe a bigger picture question on saturation with hotels. How's the pipeline for new hotels add looking? I will just start with your most mature market, Europe. Is there still a lot of opportunity for you to add hotels, or is it really just about bookings per hotel? And how much room do you still have there? And then I think you mentioned in the prepared remarks, traffic from paid channels is increasing. Does that concern you? Is that something that we might have to worry about margin pressure down the road?
Jeffery H. Boyd: Justin, so in terms of saturation with hotels, we've been adding properties even in places like the U.K., which is the most mature online travel market. Some of those properties are not hotels, they're B&Bs and vacation apartments and the like. So as I've mentioned previously, it's not the same as adding a hotel that's got 1,000 rooms in it or something, but it provides additional accommodations for customers and adds value to the platform. So we continue to find properties and accommodations to bring on to the website. As I mentioned in response to an earlier question, availability continues to be very important, but there's a lot of very big regions outside of Europe where we've got some substantial hotel staff for both Booking.com and Agoda signing up new hotels and new properties. So I do think that the growth that we've been able to demonstrate in the Booking.com hotel platform has been pretty impressive over the last year, at least in our opinion, despite having been at this in the European market for many, many years and successfully so. With respect to the increase in paid traffic, any online consumer-facing business would love for all of the customers to come directly to our website without going anywhere else first, and so we try very hard to build our strong brands and an outstanding user experience so that, if we have to pay for a customer once, we have a very good chance of getting them back directly. And our data shows we do a pretty good job of driving repeat business. Having said that, paid channels in the online world provide measurable and attractive way to access new customers and so we'd like to see the business grow in paid channels. And in fact, it's critical to the growth of our business around the world that we continue to do well in paid channels. If you look at the thing that's driving the biggest part of the mix that Dan mentioned, it's really the fact that the international business, which really is in online brands, or our all online brands, are going faster than the domestic business. And at the very highest level, that's something that we're very happy about because it's building franchise value and building our earnings.
Operator: Our next question comes from Mike Olson of Piper Jaffray.
Michael J. Olson - Piper Jaffray Companies, Research Division: Our checks are suggesting that you're just doing significantly more paid search marketing in emerging market versus primary [indiscernible] competitors. And given the critical first mover advantage in the auxiliary [ph] space, are you expecting to see kind of significantly more resources being pumped into those markets from your competitors? In other words, does it only get tougher from here in emerging markets? Or do you think those competitors are focused enough on domestic and Europe share gains that there's still runway for you to stay materially ahead?
Jeffery H. Boyd: So I think that the Asian markets, in particular, are very competitive today. Not only are our major competitors there and effectively so, there are a lot of local businesses that are our solid competitors too in the search marketplace. So we don't feel like we're operating in a market that doesn't have solid competition in it today. And based on the public pronouncements of Expedia in particular, I think they have been very aggressive in Asia over the last couple of years, and I would expect them to continue to be so. The critical element in all of this is that, in order for somebody to advertise, though, they have to have something to sell and they have to have a website and a consumer proposition that converts because you can spend all the money in the world but that's not a guarantee that the customer actually buys something when they get to your website. And I think that's the challenge that we all face when we go into a new market. But we've had pretty good success in building that organic growth, first, with the international traveler who wants to go to that new destination and then, over time, with the domestic traveler.
Operator: Our next question comes from Doug Anmuth of JPMorgan.
Douglas Anmuth - JP Morgan Chase & Co, Research Division: So I wanted to ask about 2 things. First, can you just provide some more detail on the drivers of deleverage in 2Q and beyond, perhaps beyond the paid traffic, which you obviously just discussed? And then secondly, can you talk about Bookings.com in the U.S. and, in particular, about the impact, the lateral impact, that you're seeing there on the U.S. retail business?
Jeffery H. Boyd: Dan will do the first one and I'll do the second.
Daniel J. Finnegan: So Doug, for the second quarter guidance, we talked about very modest deleverage, so I wouldn't spend too much time on that. We've talked about the mix impact on online advertising impacting us. And I made a comment in my remarks about -- we're constantly concerned about if ROIs were to decline because of factors that are not entirely within our control: click costs increased or unit economics decreased, conversion rates decrease. That could have a potentially significant impact on our operating leverage. But besides that, the other factors are not quite as dramatic. We've had some ramp-up in personnel to make sure that we're able to handle the current size of the business and future expected growth. We've opened some new offices. We've invested in IT and we've had increased depreciation expense. So those are other items that contribute to pressure on operating margins. But our margins have been strong in prior reported quarters. And it's modest deleverage for Q2. So those are some things that we think about, particularly as it relates to online advertising, which is such a significant expense for us. And if facts change there, that could have an impact, going forward.
Jeffery H. Boyd: With respect to Booking.com, in the United States, Booking continues to build its hotel supply here. The project started off primarily as a way to provide inventory for the international traveler coming into the United States, and that's still a big part of the business for Booking.com. It's clearly serving some U.S. customers traveling within the United States these days. I think investors should keep in mind that those reservations are not included in how we define growth in the U.S. business. They're included in Booking.com's results, which are reflected in our international numbers. But we're satisfied with their progress, and they're going to keep building.
Operator: Our next question comes from Kevin Kopelman of Cowen and Company.
Kevin Kopelman - Cowen and Company, LLC, Research Division: Can you give us any color on what you're seeing from the Google Hotel Finder platform so far? Is that a meaningful channel for you? And how are you thinking about it?
Jeffery H. Boyd: Hotel Finder, we participate in it and we've worked hard to provide a competitive offering for that particular product of Google. They are not driving substantial amounts of their general search traffic to Hotel Finder at this point in time. So while it's generating some business and that business is growing, it hasn't substantially replaced what's being provided through their normal text link search functionality.
Operator: Our next question comes from Brian Nowak of Nomura.
Brian Nowak - Nomura Securities Co. Ltd., Research Division: And I have 2 quick questions. The first one is just, can you talk a little bit more about the room night trends you saw in Europe throughout the quarter? And whether there was any deceleration in the larger European markets, the northern markets, or was it pretty steady? And then the second one, I was just kind of curious about trying to better understand the visibility that you have throughout the year right now. How far does the bookings window stretch into 2012 at this point? And whether you're seeing any signs of improvement, stability or weakness in the second half of the year.
Daniel J. Finnegan: Brian, in terms of room night trends in Europe, it's still a substantial part of our international business and our total worldwide business, and so the trends are following what you see in our total room night trends. So there is deceleration in Q1, and that is again largely due to the comp where we had very strong growth last year in Q1. In terms of visibility into the remainder of the year, our -- we've said in the past our bookings window is better expressed in weeks rather than months, so we have some visibility into this quarter and beyond, but it becomes more and more limited the farther out you advance.
Operator: Our next question comes from Tracy Young of Evercore.
Tracy B. Young - Evercore Partners Inc., Research Division: Just, first question, and I'm sorry if I missed this, but what was the main reason -- it looks like your domestic revenues were flat with last year-ago quarter. And also you mentioned a change in consumer habits in terms of cancellations. Are you also seeing any difference in the length of time spent?
Jeffery H. Boyd: With respect to the main reason domestic revenues are flat is the Name Your Own Price business results, which are reported on a gross basis, had weaker results than the retail business, which is recorded on a net basis. So you saw our U.S. gross profit dollars are up, U.S. gross bookings are up, but revenue was flat because the Name Your Own Price business is a smaller part of the mix. And I'm sorry, Tracy, the second question?
Tracy B. Young - Evercore Partners Inc., Research Division: Oh, just a follow-up on your comments about the consumer -- change in consumer habits. You mentioned that you're seeing more cancellations. Are you also seeing any change in the length of time spent per visitor?
Jeffery H. Boyd: I don't think we've given any color on length of stay. That's not something we have for you.
Operator: Our final question comes from Lloyd Walmsley of DB Americas.
Lloyd Walmsley - Deutsche Bank AG, Research Division: Just wondering, you mentioned adding inventory in bed-and-breakfast and vacation rentals in the U.K., in particular. How do you guys think about that space and the trade-offs potentially in adding more inventory there versus hotels in terms of take rates and potential cannibalization? If you have concerns there at all, or not.
Jeffery H. Boyd: I don't think cannibalization is a significant concern. We have substantial hotel inventory for customers who want to stay in hotels. The other accommodations typically are attractive to people who are searching for other accommodations, and our marketing efforts would tend to be more focused on people who are looking for other accommodations. There may be some spillover, but our belief is that adding that inventory to the total mix has been additive. The efficiency may not be the same as adding a large hotel who's got a professional revenue manager, who's keeping the prices up to date. It may take a little bit more time and attention to make sure that the people who are running a smaller business can keep their inventory up to date and get their pricing right. But we believe it's additive to the business. And what we're most focused on, really, is our user experience, our guest experience, to make sure that they're -- they have a convenient and predictable booking experience and stay experience.
Lloyd Walmsley - Deutsche Bank AG, Research Division: And you find that, that experience is of par on the department side?
Jeffery H. Boyd: Again, I think staying at a bed-and-breakfast is different than staying at a hotel. So if a customer is confused, you could have an issue there. But our sites have great disclosure on them and our business processes are designed to make sure that the process of making a reservation is smooth. And if we have an accommodation where we're getting a lot of complaints from customers, we would deal with it.
Operator: And gentlemen, this does conclude the question-and-answer portion of our call. Are there any closing remarks?
Jeffery H. Boyd: Thank you for participating in our call.
Operator: Ladies and gentlemen, this does conclude your program. Thank you for your participation, and have a wonderful day. You may disconnect your lines at this time.